Operator: Greetings. Welcome to Array Technologies’ first quarter 2025 earnings call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Julia Ward, Investor Relations at Array. Please go ahead.
Julia Ward: Thank you. I would like to welcome everyone to Array Technologies' first quarter 2025 earnings conference call. I am joined on this call by Kevin Hostetler, our CEO, Keith Jennings, our CFO, and Neil Manning, our President and COO. Today's call is being webcast via our investor relations website at IR.Arraytechinc.com, including audio and Slides. In addition, the press release and the presentation detailing our quarterly results have been posted on the website. Today's discussion of financial results includes non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures can be found in the accompanying presentation and on our website. We encourage you to visit our website at Arraytechinc.com for the most current information on our company. As a reminder, the matters we are discussing today include forward-looking statements regarding market demand and supply, our expected results, and other matters. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made on this call. We refer you to the documents we file with the SEC, including our most recent Form 10-K, for a discussion of risks that may affect our future results. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee the future results, levels of activity, performance, or achievements. We are under no duty to update any of the forward-looking statements to conform these statements to actual results except as required by law. I'll now turn the call over to Kevin.
Kevin Hostetler: Thank you, Julia. Good morning, everyone, and thank you for joining us today. I'll begin with a brief business and market update, then Neil Manning, our President and Chief Operating Officer, will provide some updates on market strategy, supply chain, product, and commercial execution for the quarter. Keith Jennings, our Chief Financial Officer, will provide our first quarter 2025 financial highlights and comments on our full-year 2025 financial guidance. Then we'll open up the line for your questions. Starting on Slide 4, I'll begin with the summary and key highlights of the quarter, followed by a discussion on the latest near-term market dynamics and the industry environment. In today's rapidly evolving policy environment, including ongoing tariff negotiations and potential shifts in the Inflation Reduction Act, we remain focused on what we can control, executing our strategy with discipline, maintaining operational agility, and delivering long-term value for our shareholders. While near-term volatility is a reality, we are confident in the strength of our fundamentals and the resilience of our company. Integrity and transparency remain at the core of how our team operates. Through this complex and dynamic environment, we believe staying the course on our mission will continue to earn the trust of our customers and shareholders alike. As shown on Slide 5, we had a strong first quarter, driven by focused execution, coupled with robust demand for our offerings, which accelerated volume growth to 143% over the prior year first quarter, achieving the second largest quarter of volume shipped since Q2 of 2023. This strong momentum is reflected in achieving $302 million of revenue in the first quarter, a 97% increase over the prior year first quarter, and a 10% increase sequentially over the fourth quarter of 2024. First quarter adjusted gross margin came in at 26.5%, indicative of the compression we expected in the quarter due to the impacts of the previously mentioned legacy volume commitment agreement project and some additional large international lower margin projects. Our cash position is strong, with a quarter ending cash balance of $348 million. Turning to Slide 6, I'll provide some details on our order book. Despite near-term policy-related headwinds, our order book is resilient and maintained at $2 billion. Robust sales and operational performance delivered accelerated contracting of an 18% increase in the first quarter when compared to the fourth quarter of 2024. This is despite some customers having difficulty in pricing their PPAs and fully understanding their forward project costs in the current environment. We continue to strengthen our management team with the addition of several solar industry veterans both domestically and internationally throughout the first quarter. We are already seeing the benefits from these leadership additions to the organization. Our discipline and customer-centric approach continues to gain traction as new and existing customers are seeing the benefits of Array's innovative products, software, and services portfolio, combined with our outstanding on-time delivery and ease of doing business. Our domestic order book continues to build on the momentum we experienced through the end of last year, with over 9% growth in the first quarter. As of quarter end, over 40% of our order book is set to be delivered in the remaining quarters of 2025, and we would still expect to book some additional DG projects over the next couple of quarters for delivery in 2025. We remain pleased with our project by project win rate, and we're seeing great traction with our recently expanded product offerings such as OmniTrack and SkyLink, which together accounted for 15% of revenue in Q1 and 30% of new bookings in the quarter. We are encouraged by our momentum, which we believe is resulting from our strength and organization, high customer engagement, and innovative and differentiated solutions for our customers. Transitioning to Slide 7, I want to reemphasize the need for solar energy as a major portion of an effective all-of-the-above energy strategy. The increasing energy demand globally is unmistakable. According to the Brattle and Conserved America study, the US alone will need 50% more annual electricity production than today to meet demand in 2035, created mostly by manufacturing reshoring, industrial and transportation electrification, and data center growth. While the demand growth may slow slightly and the mix of generation capacity may change slightly, utility scale solar is still faster to deploy, lower in cost both with and without tax credits, has no ongoing variable input costs, and utilizes a proven domestic supply chain. Thus, we see continued growth to meet the increased electricity demand in the coming decade. Despite this demand growth long term, market research from organizations such as Wood MacKenzie and the Solar Energy Industries Association, are forecasting US utility scale installations to be flat in 2025, largely due to the uncertain regulatory environments. With this being set, let's take a look at how we are managing the market dynamics both in the near-term and the long term. I'm on Page 8 of the presentation materials where we summarize our thoughts in two distinct buckets, near-term uncertainty and long-term confidence. While utility scale solar remains the lowest-cost and fastest-growing energy source to meet our rapidly increasing demand for electricity, the current geopolitical headwinds have created an unusual amount of uncertainty and volatility. The potential impacts of the current market uncertainty may lead to some project delays in the short term until there is better understanding of tariffs, the associated commodity increases, and the potential reform to IRA tax credits. Having said that, early sunsetting of tax credits could potentially accelerate sales as customers seek to safe harbor projects. Additionally, given the cost structure of utility scale solar projects, we do not anticipate a significant impact from tariffs as equipment typically only accounts for approximately 50% of a utility scale project. As such, a 15% increase in equipment costs would result in less than an 8% increase in the overall cost of a project. We believe developers will have the leverage to increase PPA prices to accommodate higher equipment costs if tariffs and/or commodity price increases remain in place for the longer term. We are actively engaging with our customers to help understand the potential impacts of interest rates, tariffs, and commodity price increases on their business models and individual project timing. In the last few weeks, through these conversations with customers, we have confirmed that at least 75% of our remaining 2025 domestic deliveries are for projects that either have domestic panels or panels currently in the United States. We are also active participants with industry association partners like American Clean Power, and the Solar Energy Industry Association, to publicly share the impact that Array and other US solar manufacturers are having on the American economy, delivering both jobs and secure reliable energy. We continue to monitor developments on the IRA tax credits and tariffs, and we are having direct conversations with policymakers in Washington to communicate our support for the energy tax credits. To this end, I was in Washington D.C. last week and had constructive meetings at the White House and with several members of both the House and the Senate on both sides of the aisle to discuss our perspective on the importance of the energy tax credits and the alignment of these credits with the administration's goals of growing American manufacturing and meeting rapidly rising electricity demand. As the legislative reconciliation process moves forward, we will continue our direct engagement in D.C. on this topic and share information as it becomes clearer. However, I would note that given the current plan reconciliation process and the necessary steps to clear any required voting thresholds, it will likely be a bit cloudier and chaotic initially before negotiations ensue, and it becomes both clearer and more supportive over time. On the international front, in Brazil, the devaluation of the Brazilian real, the volatile interest rate environment, and the newly introduced tariffs on solar components, have significantly slowed market growth in what was traditionally one of the largest solar markets globally. This is expected to continue for three to four more quarters as purchase price agreements are renegotiated across the region, and as Brazil enters a presidential election cycle in 2026. In Europe, our business is performing as expected, and we are seeing solid market growth in 2025. We believe we are well positioned to continue to capture market share in the region. We are actively evaluating additional markets for international expansion, including the Middle East, where we announced opportunities in the first half of 2024. We're excited by the positive reception and the potential growth in the region. Amidst this period of global economic uncertainty, our continued focus on what we can control has Array well positioned to navigate the changes in the utility scale and distributed generation solar landscapes, which is why we are reaffirming our full-year 2025 guidance. Given this backdrop, I'll turn it over to Neil to go into more detail on how we are responding to the near-term uncertainty and to review our products and commercial updates.
Neil Manning: Thanks, Kevin. Moving to Slide 9, given the worldwide focus on tariffs, I want to share some additional details on a raised tariff response and our supply chain to help you understand our basis for confidence in navigating current events. As the original provider of high domestic content trackers, Array was already well positioned prior to the changes in the global trade landscape that emerged this year. Our commercial and supply chain teams have been working around the clock to respond to the near-term tariff uncertainty. On the commercial front, we conducted a comprehensive backlog and pipeline review to identify tariff provisions within our contracts and reconfirm delivery dates with our customers. Over 75% of contracted projects allows us to pass 100% of the tariffs onto the customer. As Kevin mentioned earlier, we also confirmed that at least 75% of our remaining 2025 domestic deliveries are of projects that either have US-made panels or panels already in the United States. Supply chain impacts are often unpredictable, which is why preparedness matters. At Array, we've been investing in talent, technology and commodity-buying strategies for the past several years, which has paid off in recent months. For example, our CPQ program, which stands for Configure Price Quote, utilizes advanced algorithms to evaluate a range of supply and logistics routing options for a project, with real-time costing, inclusive of raw materials, logistics costs, and tariffs. This agility, in conjunction with proactive steel purchases from our long-term domestic steel partners, are just a few of the longer-term investments that are now yielding positive outcomes. Keith will speak to the remaining points on our actions related to near-term uncertainty in a few moments. Moving to Slide 10. From the supply chain perspective, as you'll see here, Array has built a network of over 50 suppliers in the United States, with a committed capacity in excess of 40 gigawatts. Driven by our efforts over the past several years, the United States source material drives over 93% of the content for domestic bills of material. So, we were in a good position heading into this tariff environment. Additional components are covered by the USMCA treaty with zero tariffs currently. So, the portion of our bill of materials exposed to tariffs is quite low. We were now quoting 100% domestic content trackers under table one of the IRA, so those customers were requesting this capability, and we have booked orders for 100% domestic content trackers to be delivered to customers in the second half of this year. Outside the United States, our global supply chain is focused on our center of excellence strategy where we consolidate our purchasing volume with key partners in Asia and around the world. We have over 75 supply partners supporting our international businesses, and together with our 50 in the United States, we maintain a total supply capacity of 75 gigawatts. This offers us tremendous optionality to drive the lowest landed cost solutions for our customers and the ability to adapt to a wide range of potential supply shocks and impacts, including tariffs. Moving to Slide 11, I'll pivot to some exciting product and innovation updates. Our innovative SkyLink platform is seeing strong customer interest in the market. SkyLink was launched in Q3 of last year, and we currently have our initial installation underway, with a healthy pipeline developing. You'll recall, SkyLink offers an eight-link row string-powered solution with wireless capability that eliminates the need for trenching and grid-based power. Marker reception has been very positive with major utilities where SkyLink's capabilities are making it a solid new participant within Array’s product portfolio. Our patented hail alert response continues to be well received by customers since its initial installation in 2024. The high cost related to extreme weather events continue to be a factor in the economic modeling for projects, and Array is at the forefront in this critical space, particularly with software. SmartTrack is our IP-protected software platform that enables our differentiated offerings, including automated snow response, hailstorm, diffuse, and backtracking. We're very pleased that we've surpassed five gigawatts deployed of SmartTrack and are well in our way to 10 gigawatts by the end of the year. We held our second insurance forum event at our office in Chandler in April, where we nearly doubled participation from our initial event in 2024. We were pleased to host 59 attendees, and there's broad appreciation for the information shared to industry participants, with Array leading the way from both a technical and knowledge-sharing standpoint. Moving to Repowering, as the solar industry matures and module performance continues to improve, operators can look back at prior deployments to determine if a module refresh makes economic sense. Array’s longevity in the market, coupled with our flexible architecture, make us ideally suited to support customers considering a site refurbishment. I'll remind everyone that unlike competitors, Array’s architecture does not require drilling into the torque tube to support bespoke module dimensions. Our IP-protected design allows us to readily shift from module versions and dimensions their adaptable clamp offerings. This adaptability, coupled with our 87 gigawatts of deployed solutions, makes repowering an exciting opportunity for both plan operators and Array in the coming years. Finally, on this slide, I'm pleased to report that Array is the first tracker provider to complete the process to have our DuraTrack and OmniTrack platforms fully verified as compatible with the UL 3703 standard for 2,000 volts. So, why does this matter? This 2000-volt capability offers Array the ability to increase power density, with more modules per string, lower balance of systems costs, and higher operating efficiency, leading to an improved levelized cost of energy. Array continues to lead the way with product evolution and drive important industry innovations for the benefit of our customers and stakeholders. With that, I'll turn it over to Keith to provide more details on first quarter results. Keith?
Keith Jennings: Thank you, Neil. Good morning. My commentary begins on Slide 13. First, like Neil and Kevin, I must commend the Array team for the focused execution across the quarter to start 2025. My comments will focus on key financial highlights of the first quarter 2025 results, and sharing some thoughts on the strength of our liquidity position and capital structure. Revenue in the first quarter was $302.4 million, growth of 97% from the prior year, largely due to the substantial increase in volume shipped in the quarter, indicating market share recovery from our customer initiatives and delivering on approximately $60 million of projects that were previously on hold from 2024. When compared to the prior quarter, revenue accelerated by 10%. Delivered volume, measured in megawatts of generation capacity for the quarter, was up 143% over the prior year, achieving the second largest quarter of volume shipped since 2023, and up 7% over the prior quarter. Year-over-year, we continue to experience moderate commodity-related ASP declines in Array legacy operations and slightly higher ASP declines internationally. When compared with the prior quarter, ASP increased slightly. Sales in North America represented approximately 65% of our revenue in the quarter. This lower-than-average amount of US proportion of revenues was primarily from two large ATI international projects in the quarter. This mix shift impacted our gross margins in the quarter. However, we do not anticipate this having a meaningful impact on our full-year margins. In the first quarter, adjusted gross margin was 26.5%. When compared to the prior year, gross margin declined due to the roll off of prior year 45X benefits, the non-recurring benefit from a one-time legal settlement in the first quarter of 2024, and the commodity-driven compression of ASPs. Sequentially, adjusted gross margin declined by 330 basis points, primarily due to the roll off of prior year 45X amortization benefits, the remaining balance of a large order being shipped in the quarter from a legacy fixed price volume commitment agreement, and a higher mix of international projects. Total operating expenses of $49.1 million were up approximately $2 million from $47 million in the same period last year, driven by increased investment in our commercial capabilities, offset by lower depreciation. Adjusted EBITDA was $40.6 million, representing an adjusted EBITDA margin of 13.4%, slightly above the high end of our guidance range provided on the 4Q call. This compares to adjusted EBITDA of $26.3 million and adjusted EBITDA margin of 17.1% for the first quarter of 2024. Sequentially, adjusted EBITDA is $4.6 million lower, and adjusted EBITDA margin declined approximately 300 basis points, driven by a regional mix shift, higher bad debt expense, roll off of 45X prior period amortization, slightly offset by higher volumes and ASP improvements. On a GAAP basis, net income attributable to common stockholders in the first quarter of 2025 was $2.3 million, compared to a net loss of $11.3 million in the prior year. Additionally, net income in the first quarter increased $143.6 million sequentially from the fourth quarter of 2024, which had been impacted by the intangible and goodwill write-downs. Diluted income per share was $0.02 compared to the diluted loss per share of $0.07 in the prior year. Adjusted net income was $19.7 million, up from $9 million in the first quarter of 2024. Adjusted diluted net income per share was $0.13, compared to $0.06 in the prior year. Net cash used for investing activities was $2.4 million, driven primarily by our investment in our new Albuquerque manufacturing facility. Free cash flow for the period was a use of $15.4 million compared to $45.1 million generated for the same period last year, driven by working capital investments. Slide 15 summarizes our leverage and liquidity position. We ended the quarter with approximately $348 million in total cash on hand and total liquidity of approximately $510 million, including our undrawn revolver. Throughout the quarter, net cash used in financing activities was $1.7 million, primarily driven by reduction of other debt. We ended the quarter with net debt leverage ratio of 1.8x. On May 1st, we successfully closed the amendment and extension of our revolving credit facility. I want to express my appreciation to our agent, Goldman Sachs, and our banking partners who renewed or are new commitments to the facility. The new facility will expire in October 2028. Unless the term loan remains outstanding, then the facility will mature in July 2027. The updated facility currently will have a capacity of $166 million. The financial covenant of first lien net leverage ratio has been reduced to 5.5x trailing EBITDA from 7.1x. All other substantial terms remain largely unchanged. As we navigate a period of broader uncertainty, I want to emphasize the strength of our liquidity position and capital structure. We have strong, consistent cashflow generation driven by positive earnings, which will continue to support our strategic priorities. We have a healthy cash balance, with full access to our revolving credit facility, which we successfully renewed in this difficult macro and credit environment. This amount of available liquidity provides us optionality and flexibility to navigate near-term volatility while preserving our ability to invest strategically for long-term growth. There are additional banking partners who are still going through their credit review processes and may join the facility in the coming weeks. This initial close was important to support our operational requirement to issue letters of credit beyond the maturity date of the existing revolver, which was to expire in October 2025. Array has no near-term debt maturities, and we are comfortable with our current leverage profile and required debt service of our interest coverage. To sum up, we are confident in our ability to remain agile, with ample capacity to respond to both risks and opportunities. For the full year 2025, we are reaffirming and maintaining our original guidance provided on our last call. While the current business environment is challenging, we have communicated with several of our significant customers who are scheduled for deliveries in the second half of the year, and have confidence that the 2025 project schedule will hold, particularly those in North America. We closed Q1 2025 maintaining $2 billion in our order book, which includes $640 million of remaining performance obligations, of which we expect to recognize revenue on approximately 97% in the next 12 months. Given this confirmed delivery schedule, we continue to expect full-year 2025 revenue within the range of $1.05 billion to $1.15 billion. We maintain adjusted gross margin guidance for the year to be within the range of 29% to 30%. As a reminder, the roll off of prior year 45X amortization drives the year-on-year reduction in adjusted gross margin. We also expect margins to fluctuate slightly quarter to quarter due to pull-ins or pushouts of projects, product and geographic mix, as well as fixed cost absorption. For adjusted G&A, we expect a range of $144 million to $152 million. Adjusted EBITDA is still expected to range between $180 million and $200 million. This guidance reflects improved profitability driven by our structural cost announcements to improve efficiency and scale, as well as the benefits from 45X. For adjusted diluted earnings per share, we anticipate a range of $0.60 to $0.70, representing an 8% year-over-year increase at the midpoint. We expect our effective tax rate for adjusted net income per share for the year to be between 24% and 25%. Preferred dividends are expected to total approximately $15 million per quarter, with approximately $30 million as the cash or pick portion for the full year, and the remainder attributable to the accretion of the instrument. Free cash flow is expected to be between $115 million and $130 million in 2025 after capital expenditures, which are expected to be in the range of $30 million to $35 million. Overall, we are proud of our strong first quarter results. We will continue to adapt as the business environment requires and drive the desired results for the remainder of 2025. Now, back to Kevin for closing remarks.
Kevin Hostetler: Thank you, Keith. I'll wrap up with Slide 17. As you have heard today, we believe we are well positioned to weather this storm of uncertainty. We have the people and capabilities in place to continue capturing new opportunities given the demand growth momentum of the utility scale solar industry, and we remain optimistic about our ability to deliver value to our shareholders. Looking ahead, with the volume growth we experienced in the first quarter, at the midpoint of our forecast, we expect approximately 30% volume growth in 2025, and 9.5% of adjusted EBITDA growth in 2025. This translates to 8.5% adjusted net income per share growth in 2025. As Neil mentioned, momentum remains strong with our new product and innovation pipeline. As a proof point, we are seeing great traction with our OmniTrack product and expect this to represent approximately 30% of our deliveries in 2025. We are laser focused on what we can control, prioritizing business growth, customer relationships, product innovation, and operational efficiency. With that, we will now open the call up for questions. Operator?
Operator: [Operator Instructions] Our first question is from Mark Strouse with J.P. Morgan. Please proceed.
Mark Strouse: Good morning. Thank you very much for taking our questions. Are you able to provide any more color on the commentary that you mentioned in the press release about kind of the growing interest in VCAs? Any color on kind of timelines that type those might cover potential kind of safe harbor orders? And to the extent that this plays out, are you thinking about kind of providing us new metrics that can kind of help show investors kind of the increased level of visibility that you have? And then I have a quick follow up. Thank you.
Kevin Hostetler: Yes, let me take that one, Mark. So, we’re in active discussions with several customers now who are approaching us to go back into the mode of longer-term commitments between the customer and Array. I think depending upon the size and relativity of those, we'll do some announcements on those VCAs as we ink them. I don't think we're contemplating any new metrics that we would provide. What we want to do is maintain the integrity of our order book number and the ability to translate that to revenues over the coming periods. So, we don't want to just state that we have this huge backlog full of VCAs without very defined projects to be delivered in the defined time period. So, we'll work our way through that as we look to ink some of those VCAs in the coming months.
Mark Strouse: Okay, thank you. And then Keith, a quick follow up. I'm sorry if I missed this, but did you provide any commentary on 2Q, how to think about revenue and the low margin legacy VCA deal that you had, that you called out on the last quarter? Did you wrap that up in 1Q or is there any kind of lingering deliveries in 2Q as well? Thank you.
Keith Jennings: Morning, Mark. So, the first question is second quarter guidance, we have not given specific guidance for the second quarter. We maintain the general guidance that we gave last quarter, which says that the first half will be about 55% of the revenue split. And so, we think that that holds. On the second question regarding the legacy low price VCA, the customer still has the ability to call off on that contract, but we do not believe that there will be another call off in 2025. We have none scheduled in our delivery portfolio for 2025. And so, we think that that impact on our margins is behind us for 2025.
Operator: Our next question is from Colin Rusch with Oppenheimer & Company. Please proceed.
Colin Rusch: Thanks so much. Can you talk a little bit about the size of orders that you're starting to see and lead times? Just curious about any sort of shifts either up or down, both in terms of project size and if folks are trying to accelerate projects or seeing lead times extend out.
Kevin Hostetler: Yes, I would say our lead times, we still have industry-leading lead times of 14 weeks, and obviously we have customers pressure-testing that and saying, if we were, can you do it in 12 and things? So, we're certainly in a lot of dynamic discussions about that. We have yet to have a meaningful amount of influx of safe harbor or early pull-ins into 2025, although those conversations continue to go on. Relative to what we're seeing more broadly, while we saw good book-to-bill domestically, as Keith mentioned in his prepared remarks, I think that the domestic business from an inbound order, look, it's going to be a little bit challenging here in terms of our customers’ ability to price PPAs effectively, given the level of uncertainty, and therefore then to press orders on it. So, what we're focused on is looking at their backlogs, looking at which portions of their backlogs really fit Array, and being ready to serve them when that clarity comes, that's the type of discussions we're having with our customers. Their backlogs and their volume of business is as big as it's ever been. So, right now it's really about getting clarity on the tariff and IRA elements that will allow them to appropriately price PPAs and have those orders flow down to Array. But we're certainly working with our customers on what those projects look like at this point.
Colin Rusch: Thanks so much. And then from a product perspective, can you talk a little bit about the areas of focus where you are seeing some opportunity for incremental competitive advantage and opportunity to simplify installation or get some incremental performance? Just curious about that product relative to other folks and where there's some evolution.
Neil Manning: Yes. Hey, it's Neil. I'll take that one. So, we've talked quite a bit about our focus on extreme weather, and when you look at our prepared remarks and some of what we've been talking about over prior quarters, we really believe that Array provides a differentiating capability in this area, particularly with our architecture with passive stow, along with what we've announced as the highest stow angle in the industry at 77 degrees for hail, along with the other software capabilities we've brought to market in recent quarters, we feel that that brings a really advantageous avenue for Array in the market, and our customers have really indicated a lot of interest with us for that. And so, separately to that, then when we talk about SkyLink and simplified installation, SkyLink offers stability for wireless connectivity that minimizes trenching in difficult soil environments. So, when you look at where we really stake the ground, it's around either ease of installation for our EPC partners or helping our overall clients mitigate really challenging weather environments, which are happening more and more frequently, particularly in kind of the southern part of the United States. So, we feel really happy with how our technology and innovation pipeline is continuing to proceed. You'll expect us to continue to focus on that area, and we feel really good about the progress we've made on that front.
Kevin Hostetler: I think the one thing I'll add to that is the OmniTrack. It's significant and we’ve put it in our prepared remarks, but the fact that we launched a product just under two years ago now, and it's already accounting for 30% of our revenues in the year 2025, is quite significant, and really indicative of a really rapid level of adoption for that product line. We're seeing a lot of great success in that, not only domestically, but we began installing that this year internationally as well. So, we're really excited about the OmniTrack product in our portfolio at this point.
Colin Rusch: Thanks so much, guys.
Operator: [Operator instructions]. Our next question is from Maheep Mandloi with Mizuho Securities. Please proceed.
David Benjamin: Hi, this is David Benjamin in for Maheep. Can you talk about your cash use plan and especially any plan to delever your term loans?
Keith Jennings: So, we've just successfully amended and extended the revolving credit facility. So, short of our liquidity, we're looking at all options. We have the converts that are trading in a discount, which represent a good return for shareholders. If we address a portion of those, we are looking at how to manage the term loan. However, as you can imagine, the debt markets today are not as open for renewable companies as they once were. So, we're thinking carefully about how we do that. And of course, we're looking at strategic opportunities to grow our business inorganically. So, we are pleased with where we are in terms of the on-balance sheet liquidity, off-balance sheet liquidity and the revolver. We're pleased with our cashflow generation. And so, we’re taking our time and looking at all our options.
David Benjamin: Thanks. And then I have a separate question. You mentioned talking to customers. Are you noticing the same kind of comments, regardless if it's an EPC or developer in terms of project schedules, or is there any daylight between the two?
Kevin Hostetler: In my conversations, I think the conversations and tone have been very similar in terms of the commitments to their 2025 outlook. I think what I have learned in this journey of speaking to the customers is what are the differences that affect the project near-term versus what affects a project long-term? And so, we focused on what are the things that would affect the projects near-term, and those things all seem to be really aligned. So, like the PPA agreements and so forth and looking at equipment timelines and so forth, that would affect things long-term. So, both the EPC, both the developers all seem aligned that the interconnections and the PPAs are in line and that the 2025 schedule looks like it'll hold at this point in time.
David Benjamin: Thanks very much.
Operator: Our next question is from Kashy Harrison with Piper Sandler. Please proceed.
Luke Anneser: Hey, this is Luke on for Kashy. Good morning. I want to circle back to your comments on how the domestic bookings environment might be challenged with all the uncertainty, which makes sense. Do you think that the uncertainty is driven by the IRA, or is it primarily being driven by tariffs?
Kevin Hostetler: Luke, it's both. So, as Keith mentioned, we've had conversations with handfuls of both EPCs and developers, and they're challenging in the near-term and the real - I mean, it couldn't quote it any other way, but look, how do I really understand what my costs are going to be? And it's not - to be clear, this isn't a 2025, it's probably not even as much a first half 2026, but it's really back half 2026, 2027 projects that we're focused on now that they'll be filling in the order book. And they are really struggling with understanding not the tracker portion of the cost, right? That's 10% of the project costs, but you have lots of other components that they're struggling with understanding the full price, be they the inverters, the modules, the transformers, some of those other things, but still it's not settled on what the full tariff impact of some of those imported components will be yet. Secondarily, the understanding of the timing and what changes would happen to the IRA. So, I think their view is, look, as long as you will be able to respond to us quickly when we get that clarity, it may be a quarter or two away before we get that full clarity, but Array, we're going to need you guys to respond quickly when we have it because things are going to move fast. And we're like, absolutely. Let's have a peek into what types of projects and scale of projects you're thinking of so we'll be ready for you. That's the type of conversations we're having at this point.
Luke Anneser: Okay, that makes sense. And then just as a follow up, can you remind us when the preferred stock distributions have to be paid in cash versus picked?
Keith Jennings: I think it is in the summer of 2026.
Luke Anneser: Okay, thank you.
Operator: Our next question is from Phillip Shen with ROTH MKM. Please.
Phillip Shen: Hey guys. So, thanks for taking my questions. Wanted to check in on the exposure you guys might have to projects starting construction or being delivered in 2025 or early 2026 that may be exposed to the battery cell pack challenges, where the 145% China tariff is limiting supply of cells into the country. And so, I know some solar and storage projects, the solar and storage can COD separately, independently, but there are some projects where they need to develop together. And so, I was wondering what kind of risk there might be with that kind of exposure. Thanks.
Kevin Hostetler: So, Phil, what we focused on as a team was going project by project through the balance of 2025. And certainly, we looked a little bit forward into 2026, but we felt what we were really trying to do is shore up our guidance here in 2025. And for those projects that are solar and solar and storage in 2025, our customers are still saying that the projects that we have in pipeline are still going forward as planned, because most of what they needed for those projects were already in-country from a component standpoint.
Phillip Shen: That's good to hear. Thanks Kevin.
Kevin Hostetler: Yes, that’s what we felt, as we do - go ahead.
Phillip Shen: Yes, so that's great. Really sorry for cutting you off there. If we get the reciprocal tariffs back at the end of the 90 days, how could that impact back half commitments and revenue? Thanks.
Kevin Hostetler: Yes, so we don't think it impacts our back half of this year because again, most of the components that our customers are looking for, look, I think we put a stat in the presentation that about 87% of stuff is already in motion. We're already beginning to deliver to those sites. Our portion of the components, that comes pretty early in the cycle, and most of that's already beginning to get in motion. Our customers have even indicated on these calls that Keith and I had that in many cases, it would cause more heartache to try to slow down than it would to speed up because so much is in motion vis-à-vis their labor for the field and everything scheduled out for this year. So, the view of most of the EPCs and developers that we spoke to were that 2025 looks fairly solid at this point in terms of continuing the projects on pace to the schedule that they previously provided us. So, that's as far as we're willing to go at this point is 2025 seems fairly solid at this point.
Phillip Shen: Okay. Thank you for the color and detail, Kevin. I'll pass it on.
Operator: Our next question is from Brian Lee with Goldman Sachs. Please proceed.
Brian Lee: Hey guys, good morning. Thanks for taking my questions. It's been a busy morning, so I was unfortunately hopping on late. I apologize if some of these things were covered. But I had two questions. On steel pricing, maybe the pricing capture potential, you're now into May. Kevin, how are you thinking about the impact in 3Q and 4Q on your business? Have you seen this sort of 9% to 11% price increase you kind of alluded to in the last call? Is that playing into bookings already? And then what sort of impact on gross margins could that have? And I had a follow up.
Kevin Hostetler: Yes. So, remember, the steel prices that we're purchasing steel in the US largely for our domestic business. And what you've seen year-to-date is still a pretty substantial increase in steel prices on a year-to-date basis. While it's back down slightly in the last couple of weeks, it's still predicted on a full-year basis to be up circa 25% to 28%. So, that does translate into some ASP increases. So, for the projects that we would be booking now, you'll see those at a higher ASP than you would've prior. And you even saw that in Q1 had a sequential, very slight, but beginning the uptick of ASPs as you started to see that. So, but as you know with our cycles, you won't see that for a couple of quarters before it starts rolling through the real P&L because a lot of the stuff we're booking now with those higher steel things are going to be set for 2026. There may be some that'll be shipping in say, Q4 of 2025 as well, but we are seeing in the orders that the ASPs are beginning to increase slightly.
Brian Lee: Awesome to hear how things are starting to play out. That's good to hear. And then, again, my second question was around the bookings here. They were pretty solid. I think there was some concern coming into the year that uncertainty levels across the industry, tariffs, et cetera, just it's a tougher backdrop than what you had the past few quarters. And yet bookings seem to be slightly modestly moving back up. So, should we expect further momentum here just off of these levels, even off what, again, we were kind of thinking might be a seasonally softer Q1 period. I think you, you exceeded expectations at least what seemed to be pretty low expectations going in. What’s sort of the forward momentum off these levels that we should maybe be anticipating? Thanks, guys.
Kevin Hostetler: I think the honest answer is it's too early to tell. As I said, as we're talking to our customers and our partners, the amount of quotes is still really high. So, the activity level is really high. But again, whether or not, and remember that the tracker being 10% of the overall site cost, and we can be pretty definitive because as we put in our prepared remarks, the fact that 93% of our basic build material is already domestic-sourced, that that tariff impact is fairly minimal on an - even on an unmitigated basis. So, our view is that we are not the issue that's going to hold up our customers being able to price their projects effectively. It's a lot of the other components, again, the modules that are 30% of the cost of a site, it's the transformers, it's the inverters, those other components. And as Phil indicated earlier on his question, the batteries are probably one of the biggest question marks out there in terms of how do you price these projects going forward, knowing that somewhere between 40% and 50% of these solar sites are now combined with battery storage, or at least planned currently to be combined with battery storage. So, I think it's too early to tell what that bookings momentum. I can tell you that the underlying demand momentum is still very, very strong. It's whether or not customers can convert them, for example this quarter, given the uncertainty around IRA and given the uncertainty around tariffs, or are we going to have this period of a lull in bookings followed by hyper acceleration when we get a level of clarity there. That's what we're not sure. We're talking to our customers every day. They're certainly focused on now that pivot towards a few more - talking to us about longer-term VCAs to preserve capacity. That's kind of the discussions we're currently having with our partners.
Brian Lee: Okay. Appreciate all that color. Thanks a lot, guys.
Operator: With no further questions, I would like to turn the conference back over to management for closing comments.
Kevin Hostetler: Thank you. Once again, I just want to thank the Array team globally for delivering such a strong quarter, and I look forward to talking to you guys again at the end of Q2. Thanks, everyone.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time, and thank you for your participation.